Operator: Welcome to the U.S. Auto Parts Third Quarter 2014 Conference Call. On the call today from the Company are Shane Evangelist, Chief Executive Officer and Michael Yoshida, Interim Chief Financial Officer. By now, everyone should have access to the third quarter 2014 earnings release, which went out today at approximately 4 PM Eastern Time. If you have not received your release, it is available on the Investor Relations portion of the U.S. Auto Parts' Web site, at usautoparts.net by clicking on the U.S. Auto Parts' Investor Relations tab. This call is being webcast, and a replay will be available on the Company's Web site through November 17, 2014. Before we begin, we would like to remind everyone that the prepared remarks contain certain forward-looking statements, and management may make additional forward-looking statements in response to your questions. These statements do not guarantee future performance, and speak only as of the day hereof. We refer all of you to the risk factors contained in U.S. Auto Parts' Annual Report on Form 10-K and Quarterly Reports on Form 10-Q filed with the Securities and Exchange Commission for a more detailed discussion on the factors that can cause actual results to differ materially from those projected in any forward-looking statement. U.S. Auto Parts assumes no obligation to revise any forward-looking projections that may be made in today's release or call. Please note that on today's call, in addition to discussing the GAAP financial results and the outlook for the Company, the following non-GAAP financial measures will be discussed, EBITDA and adjusted EBITDA. An explanation of U.S. Auto Parts' use of these non-GAAP financial measures in this call and the reconciliation between GAAP and non-GAAP measures required by SEC Regulation G is included in U.S. Auto Parts' press release today, which, again, can be found on the Investor Relations section of the Company's Web site. The non-GAAP information is not a substitute for any performance measure derived in accordance with GAAP, and the use of such non-GAAP measures have limitations, which are detailed in the Company's press release. With that, I would like to now turn the call over to Shane Evangelist.
Shane Evangelist: Thank you, and thank you all for joining the call. I want to thank our team here at U.S. Auto Parts for their continued efforts to improve the business, your hard work has not gone unnoticed and I appreciate all your dedication to the Company. I’ll start with a significant announcement we made recently around AutoMD. We announced that Federal-Mogul Motorparts and Cox Automotive operator of AutoTrader.com and Kelley Blue Book along with existing U.S. Auto Parts investors had a $7 million strategic investment in AutoMD. We believe this investment will help further establish AutoMD as the preferred storage for vehicle repair information for consumers. AutoMD finished the third quarter with just over a 1,000 shops signed up for the service and we continue to be excited about the opportunity to bring pricing transparency to consumers, as well as increasing business to participating shops. AutoMD’s major focus continues to be signing up shops. In exchange for the $7 million investment, U.S. Auto Parts sold 36% of AutoMD and remains the majority owner with 64%. We believe this financing is in the best interest of U.S. Auto Parts’ shareholders, because we believe the new capital will put AutoMD in a better position to be successful and offset the direct costs U.S. Auto Parts has been expensing on AutoMD. We’re excited about the future of AutoMD and look forward to a great partnership ahead. Turning to our core e-commerce business, we continue to be encouraged by strong industry growth of Auto Parts online. Online penetration is expected to be over 5 billion next year and is expected to grow from around 9% penetration to 17 over the next five years according to Booz & Company. We believe our combination of low cost offshore sourcing coupled with our industry-leading consumer reach puts U.S. Auto Parts in a great position to take advantage of the expected acceleration shift from offline to online shopping. In addition to the shift from offline to online, we expect to benefit from several industry trends. First, the growing statistics around average age of vehicles and miles driven continue to increase. The average vehicle age on the road is estimated to now be over 11.3 years and the average miles driven for a vehicle on the road is estimated to be over 100,000 miles. The combination of increased age of vehicles and increased mileage typically leads to more repairs that are not covered by warranty. Second, there has been a significant skew proliferation, over the past 10 to 15 years we have seen a wave of new vehicle and platform introduction. The number of skews needed to serve the market has grown with it. This skew count creates additional challenges for brick and mortar operators and an opportunity for online providers, our goal is to have the widest selection of private label and branded products and to be the one-stop shop for these customers. Revenue for the quarter grew double-digits increasing by 10% year-over-year, transactions for the quarter were up 13% year-over-year, with e-commerce orders up 7% and online marketplace orders up 30%. This quarter also marks the third consecutive quarter of positive revenue growth and the second consecutive quarter of double-digit revenue growth. Year-to-date revenue is up 9% and so far for the fourth quarter revenues are currently trending up 13%. Revenue growth was led by conversion increasing 17% year-over-year. We believe there are few areas helping conversion. First, is the general industry shift online, consumers who previously used the online channel as an information source are now feeling more confident to buy online. This is an area we believe we’ll continue to help conversion going forward. Second, we’ve been more competitively priced. This is another area that we believe has more opportunity to improve conversion going forward. Finally, we believe our online user experience continues to improve. One example of that would be our initial implementation of what we call active selling. This project uses a more proactive selling technique versus a traditional passive online user experience. In a traditional user experience products are displayed and the user can narrow the results by using their left hand navigation to filter. An example of this might be a user searching for a headlight. A customer may have bumped into a light pole damaging the driver side headlight, however, when they search online for headlight, the results set displays driver and passenger side headlights. These do not have the option to either use the left hand navigation to filter down to only driver side headlights or they can go through each listing and determine if it fits their vehicle. Where there is only attribute that needs to be filtered the user can pretty easily go through each skew listed. However, when there are a multiple decisions like replacement versus performance, or color, finish, size just to name a few, the results set for a user can be very long, making it time-consuming to go through the results to determine the right part for their vehicle. Since the left hand navigation has limited use, we have decided to actively ask those questions similar to the experience you would receive in an auto part store from an employee behind the counter. On the eight parts we have enabled active selling on Auto Parts warehouse we have seen a 7% lift in conversion. Over the next few quarters we will be doing the necessary work to rollout active selling to all our top performing products. Revenue growth from a product line perspective saw our private label business grow in the high-teen consistent with industry trends. We have already sourced over 4,000 new private label skews year-to-date and expect to end the year somewhere between 4,500 to 5,000. To better support the private label business, we launched a new automated replenishment system intended to improve in stock rates and expected to help to optimize both sales and gross margin return on investment. Our branded business went positive for the quarter for the first time in two years, which has been driven by more competitive pricing and our recently launched automotive data processing initiatives that helps us add over 100,000 new branded skews this year and improve the presentation of existing skews. We anticipate these new tools will help us accelerate new skew additions and products that are enabled for active selling. Gross margin for the quarter came in at 27.1% which is a 200 basis point decrease over last year. The compression was driven by more aggressive pricing for both private label and the branded business. We did experience a margin expansion later in the quarter and that expansion has continued into the fourth quarter. We anticipate gross margins in the fourth quarter to increase slightly over the third quarter and to be somewhere between 27% to 28%, before any impact from inventory write-downs associated with the Carson warehouse closure. Our adjusted EBITDA for the quarter was 1.2 million. Adjusted EBITDA less CapEx was negative $100,000. However, after backing out the expensive AutoMD which is an expense we will not be incurring going forward it would have been positive $300,000. Year-to-date adjusted EBITDA less CapEx was positive 2.4 million and after backing out AutoMD expenses adjusted EBITDA less CapEx would have been positive 3.5 million. As related to our revolver we are again building inventory for the closing season and increasing our revolver debt. Last year our revolver debt increased to over $8 million with inventory of 40 million. Our debt was eliminated and we went into a positive cash position in the second quarter this year and currently we have debt at 10.6 million and inventory of 45 million up from 36 million last quarter. We anticipate debt reduction as we move into the first half of the year. We also currently have 8.6 million of availability on our credit line. In closing, we are excited about the business. We believe the capital raised for AutoMD positions AutoMD for future growth and reduces U.S. Auto Parts’ funding requirements in the future. We believe U.S. Auto Parts is in a great position to take advantage of the increased penetration rates of Auto Parts online and we believe our combination of customer reach and efficient supply chain can provide us with great competitive advantages. We delivered double-digit revenue growth of 10% and we are currently trending up 13% so far for the quarter. Year-to-date adjusted EBITDA less CapEx is positive $2.4 million which we believe demonstrate our ability to produce cash from operations. And finally again want to thank the team in U.S. Auto Parts for the tremendous job they have done to generate growth and turn our business profitable again. Thank you all. And with that I will now turn the call over to Mike.
Michael Yoshida: Thanks Shane. Good afternoon to everybody on the call. Unless otherwise stated, this quarter refers to consolidated Q3 2014 and last year refers to Q3 2013 in comparisons, our Q3 2014 compared with Q3 2013. Also percentage and basis points discussed are calculated using net sales, however for advertising will discuss comparisons to net online sales. Adjusted EBITDA and as Shane mentioned for the quarter was 1.2 million compared to adjusted EBITDA of 1.8 million last year. Adjusted EBITDA excludes non-cash share-based compensation expense of 686,000 this quarter and 315,000 for the third quarter last year. Adjusted EBITDA also excludes restructuring cost of 410,000 this quarter compared to zero for the third quarter of last year. The 410,000 in restructuring costs recorded in the current quarter associated with the closure of our distribution facility in Carson, California at the end of July. These costs consists primarily of equipment and fixture transfer costs, labor costs associated with setting up our LaSalle and Chesapeake warehouses to accommodate inventory previously held in Carson and relocation expense. We did not record an inventory write-down in the current quarter, but expect to record an inventory write-down in the coming two quarters. The additional inventory write-downs are anticipated in order to accelerate the sell through of some excess inventory, now that we’re operating with the less warehouse space due to the Carson warehouse closure. We cannot estimate the amount of these future inventory write-downs at this time. However, we expect these charges during Q4 2014 and Q1 2015 as we appropriately price this excess inventory to sell through over the coming two quarters. CapEx for the quarter was 1.3 million compared to 1.9 million last year. Adjusted EBITDA less CapEx was a negative 0.1 million for the quarter which is flat to last year. CapEx for the quarter was lower primarily due to the timing of some projects that will shift into next quarter. Turning to sales, this quarter's net sales were 68 million compared to 61.7 million last year, an increase of 6.3 million or 10.1%. During the same period, our online sales grew by 11.7% while offline sales decreased by 4.4%. The online sales increased of 11.7% or 6.5 million was the result of a 2.9 million or 6.7% increase in sales from our e-commerce sales channels and a 30.8% or 3.4 million increase in sales from our online marketplaces. The 2.9 million sales growth in our e-commerce sales channels were driven by 17.6% increase in conversion partially offset by a 9% decrease in traffic and a 0.9% lower average order value. The 3.4 million increase in our online marketplaces was driven by a 29.3% increase in orders. As we experienced in Q2, despite the decline in traffic, our improved user experience, as well as our competitive pricing strategy resulted in a strong growth in conversion. The offline sales decrease of 4.4% was primarily due to the impact of the Carson warehouse closure. Excluding the impact of the Carson warehouse closure, offline sales for the quarter increased by 966,000 or 23.8%. Total orders including both our e-commerce channels and our online marketplaces increased by 13.4% over last year. Total average order value declined by 3% to $97 this quarter from $100 last year. Average order value increased slightly over our previous quarter of $96 per order. This quarter’s gross margin rate was 27.1% down 190 basis points from last year up 29%, the 190 basis points decline over last year was primarily due to our competitive pricing strategies of our private label and branded product which drove our sales growth. Our private label mix was 53% of net sales this quarter compared with 55% last quarter and 50% last year. Online advertising expense which includes catalog costs was 7.2% of net online sales this quarter which was flat to last year and slightly higher than last quarter of 7.1%. We achieved online revenue growth while maintaining similar spend efficiencies. This quarter’s marketing expense excluding online advertising expense was 8.6% of net sales compared to last year of 8.7%. The decrease of 10 basis points year-over-year was primarily due to a lower depreciation and amortization expense net of stock compensation expense of 20 basis points, partially offset by wages increasing by 10 basis points. General and administrative expense including amortization of intangibles was 3.9 million or 5.7% of net sales this quarter compared to 4.3 million or 7% of net sales last year, a decline of 140 basis points or $688,000. This compares with last quarter’s at 4.6 million or 6% of net sales the decrease over last year of 140 basis points was primarily to lower overhead costs of 90 basis points, lower wages of 30 basis points. Fulfillment expense of 7.7% of net sales this quarter up from 6.8% last year an increase of 90 basis points, this increase was primarily to due to higher wages and temporary labor related to the increase in inventory receipts during the quarter and restructure cost in connection with the closure of our Carson warehouse. Last quarter’s fulfillment expense was 7% of net sales, excluding restructuring cost fulfillment expense this quarter was 7.2% of net sales. Technology expense was 1.8% of net sales this quarter down from 2% last year, a decline of 20 basis points. The reduction was primarily due to lower overhead expense, last quarter’s technology expense of 1.6% of net sales. Turning over to our revenue metrics, unique visitors on our e-commerce side for the quarter were 29.4 million down 9% over last year. Orders placed through our e-commerce channel this quarter were 491,000 up 7% from last year of 459,000 with an average order value of $113 down 1% from the $114 last year. Total orders including orders from both our e-commerce channels and online marketplaces increased by 13.4% over last year. Total average order value declined by 3% to $97 this quarter from $100 last year. As I said previously, net online revenue grew by 11.7%. Online marketplace orders increased this quarter to 243,000 compared with 188,000 orders last year an increase of 29.3%. Online marketplace average order value was flat compared to last year at $65. Despite this flat average order value, we have seen positive growth in online marketplace revenue this year due to our broad selection of competitively price private label products. Our conversion rate improved to 1.67% this quarter, up from 17.6% from last year of 1.42. Our strong growth in conversion reflects our competitive online pricing strategies compared to last year. Revenue capture, the amount of actual dollars retained after taking into consideration, returns, credit card declines and product fulfillment improved by 70 basis points or 83.9% of gross sales, compared to last year of 83.2% of gross sales. The revenue capture improvement is primarily due to improved in stock position and lower return rates. This quarter’s acquisition costs came in lower by 4.2% to $7.14, compared with last year at $7.45 as a result of our continued efforts and efficient advertising spend. Now turning to the balance sheet, cash and securities were 1.3 million and debt outstanding on a revolving line of credit was 10.9 million, compared to last year’s cash and securities of 1.2 million and debt outstanding on our revolving line of credit of 8.3 million. Our net availability subject to our covenant test on our line increased to 7.1 million, compared to last year’s net availability subject to our covenant test of 3.6 million. As discussed last quarter, we draw on our revolver as needed to fund working capital and operating needs of the business. Our revolver was utilized primarily to support our inventory increase of 9.6 million during the quarter and cost related to the closure of the Carson warehouse. Since the end of the quarter, we have decreased our debt to 10.6 million and our net availability on our line is 8.6 million. Now with that operator, we’ll now open the call up for questions.
Question:
and:
Operator:  Thank you. Ladies and gentlemen, at this time we will be conducting a question-and-answer session. (Operator Instructions) Our first question comes from the line of Jeff Martin from ROTH Capital Partners. Please proceed with your question.
Jeff Martin : Shane could you go into a bit more about AutoMD with the recent investments you’ve got, and you’ve got a contractual arrangement, where you need to sign up 2,000 shops during the first year and I think 5,000 by the second year. We’re looking for some detail into your shop sign-up strategy and if there’s any changes to that plan since the investment was made?
 ROTH Capital Partners: Shane could you go into a bit more about AutoMD with the recent investments you’ve got, and you’ve got a contractual arrangement, where you need to sign up 2,000 shops during the first year and I think 5,000 by the second year. We’re looking for some detail into your shop sign-up strategy and if there’s any changes to that plan since the investment was made?
Shane Evangelist: No changes to the plan since it was made and to give a little color on that, the investors that put capital in both Federal-Mogul Motorparts and AutoTrader wanted to make sure that we’re incented to continue to move forward with shop sign-ups and so we were comfortable with those numbers. I am not here telling you that we’ll actually hit those numbers, but we felt that we could achieve those numbers. So, we were willing to agree to those terms moving forward.
Jeff Martin : And then could you touch on the competitive pricing strategy, is that something you see continuing for the near future or are there any changes in sight that would be helpful to get some insight there?
 ROTH Capital Partners: And then could you touch on the competitive pricing strategy, is that something you see continuing for the near future or are there any changes in sight that would be helpful to get some insight there?
Shane Evangelist: Yes. So, I mean the reality is some of the prices in the market have come down and we think the market is big, right, it's 9% today probably growing into the upper-teens, it's probably a $5 billion market next year and we want to make sure we’re participating in that market. And so, we’ve been taking some pricing actions to make sure we can compete and we’ve seen some good results out of that in fact the branded business had been running negative for a bit has now flipped positive in the quarter and so, we’re seeing some good results from that.
Jeff Martin : And then could you shed some insight into the inventory build it looks like that happens typically every third quarter, but help us understand the build there and how that plays out over the course of the next couple of quarters?
 ROTH Capital Partners: And then could you shed some insight into the inventory build it looks like that happens typically every third quarter, but help us understand the build there and how that plays out over the course of the next couple of quarters?
Shane Evangelist: Yes. So, similar to what you saw last year, we built inventory in the third quarter and affective of what you need to do is get ready for the crash part season, the collision season in the first half of the year. And as you saw last year, you sort of saw our inventory and debt drop throughout the first half for the year. I’d also probably add a little bit of color last year I think we had $8 million of debt on $40 million of inventory at this time. We probably got $2.5 million on debt and sort of early paid discounts that we could have taken, but we like the pick-up from a financial perspective. So, we left it in the debt line and took the discounts. So, there is actually some opportunity for us if we did want to reduce the debt we could, but we liked the financial return on the quick pay discount.
Jeff Martin : That kind of segways into gross margins and your outlook for next year are there any drivers for margin gains next year, and if so what are they specifically?
 ROTH Capital Partners: That kind of segways into gross margins and your outlook for next year are there any drivers for margin gains next year, and if so what are they specifically?
Shane Evangelist: I think we are still evaluating how we are going to go to market and compete in 2015, certainly if you just watch the normal trends similar to this year you will see the first quarter runs somewhere upwards of 29% and then back half of the year it comes closer to 27. And so I think if you were to take the current growth rates around that sort of number I think that’s probably how it plays out under the current growth piece. Now, if we decided to accelerate growth the growth might be faster and the margin might be lower. And we will continue to work through those scenarios internally but that’s kind of how I am thinking about the business at this point Jeff.
Jeff Martin : And then you have mentioned 13% growth year-to-date in the fourth quarter is there anything specific driving that?
 ROTH Capital Partners: And then you have mentioned 13% growth year-to-date in the fourth quarter is there anything specific driving that?
Shane Evangelist: We were up 13 in the second quarter we are up 10 in the third quarter and we are up 13 in the fourth quarter. So I think that’s been relatively consistent growth for the last sort of three quarter. So I am not sure if there is anything different driving that growth other than that’s kind of what’s been taking place.
Jeff Martin : And then your outlook for increasing private label skews next year, what does that look like? I mean I think you are up 4,000 to 5,000 this year is that right?
 ROTH Capital Partners: And then your outlook for increasing private label skews next year, what does that look like? I mean I think you are up 4,000 to 5,000 this year is that right?
Shane Evangelist: Yes, I think we are up four we will probably end the year between 4,500 and 5,000 and in the next year I think you will see a similar growth in that piece which is why I think we feel good about continuing to grow the private label business. We are doing a better job of selling what we have today, as you can see in the conversion numbers and we continue to have a very good process to add new skews going forward.
Jeff Martin : And then you had mentioned the more interactive user experience, what does it look like in terms of rolling that out to the majority of your highest volume products. How long does that take and with a 7% uplift there would you expect some accelerated growth next year as a result?
 ROTH Capital Partners: And then you had mentioned the more interactive user experience, what does it look like in terms of rolling that out to the majority of your highest volume products. How long does that take and with a 7% uplift there would you expect some accelerated growth next year as a result?
Shane Evangelist: Yes, I think that 7% is similar to things we have done previously to see that sort of 18% growth you saw in the quarter. Here is what’s key about getting the active selling technology operational and up and running, one, you have to ensure that all your data attributes are normalized meaning if it’s all the same it’s going to be less or it’s got to be past your size. So you got to make sure all the data attributes are normalized and then you got to make sure any data that’s in those part names is cleaned up properly. And so that’s the process we are going through today. And it’s an arduous process because you can assume with the amount of skews that we sell and the amount of data that we have that we have to go through it. That said we are excited about seeing the results we are seeing. We are excited about the return rate reduction we see as well, so it’s not just the sales lift but it’s clearly a better user experience for our consumers, and we will keep pushing through that. And hopefully through the first half of next year we have got majority of our products up on the active selling program.
Operator: (Operator Instructions) Our next question comes from the line of Mitch Bartlett from Craig-Hallum Capital Group. Please proceed with your question.
Mitch Bartlett : So I was wondering back to the first question on AutoMD. I mean very pleased to see that money come in, but I remember discussions previously about if you got the 3,000 shops you’d basically at breakeven. Does the 2,000 come on top of the 1,000 meaning a year from now or you might be seeing AutoMD at breakeven?
 Craig: So I was wondering back to the first question on AutoMD. I mean very pleased to see that money come in, but I remember discussions previously about if you got the 3,000 shops you’d basically at breakeven. Does the 2,000 come on top of the 1,000 meaning a year from now or you might be seeing AutoMD at breakeven?
Hallum Capital: So I was wondering back to the first question on AutoMD. I mean very pleased to see that money come in, but I remember discussions previously about if you got the 3,000 shops you’d basically at breakeven. Does the 2,000 come on top of the 1,000 meaning a year from now or you might be seeing AutoMD at breakeven?
Shane Evangelist: Yes Mitch what’s great about the capital raise is it gives us a lot more flexibility about how to go-to-market. We may make decisions to not have to breakeven and get more shops signed up at an accelerated rate. And so what’s exciting about the opportunity is our ability to go attack this market the way we think we need to, which is clearly add more shops at a fast pace. And that’s what we are focused on with AutoMD. We are not necessarily focused on trying to breakeven anytime in the near future on that. I think this capital raise allows us the flexibility to go get more aggressive around signing shops so.
Mitch Bartlett : And it strikes me Federal-Mogul and Cox these are very large companies and they have put a small amount of money in a spinoff of your company which I am just wondering what they get out of it or where they see it going? Is there a quit protocol when you get to a certain level and they help it grow or they ask their distributors to get more active with AutoMD. What’s behind their motivation?
 Craig: And it strikes me Federal-Mogul and Cox these are very large companies and they have put a small amount of money in a spinoff of your company which I am just wondering what they get out of it or where they see it going? Is there a quit protocol when you get to a certain level and they help it grow or they ask their distributors to get more active with AutoMD. What’s behind their motivation?
Hallum Capital: And it strikes me Federal-Mogul and Cox these are very large companies and they have put a small amount of money in a spinoff of your company which I am just wondering what they get out of it or where they see it going? Is there a quit protocol when you get to a certain level and they help it grow or they ask their distributors to get more active with AutoMD. What’s behind their motivation?
Shane Evangelist: Yes Mitch here is what I would say certainly the quality investor I think reflects the quality of the product we build, and so that’s exciting for us. And as it relates to their individual motivations and I wouldn’t want to speak on their behalf. I do know that the more distributors that we get signed up that help carry Federal-Mogul product the more opportunity Federal-Mogul has to be a part that shows up and a result. And so I think there is certainly some additional motivation on behalf of Fed-Mogul to get their distributors or the folks they work with to get their shops upon the program. And so that’s exciting for us we’re excited about working with them to try to accelerate shop growth not necessarily for the -- certainly for the benefit of AutoMD but also I think it may help out Federal-Mogul business longer term that said I wouldn’t want to speak on their behalf or our traders for that matter.
Mitch Bartlett : And there is distributors with that service huge numbers of shops so you could be like chunk on big numbers of shops I mean I don’t want to put the cart before the horse here but there is the possibility of signing distributor networks up one belt so is that fair?
 Craig: And there is distributors with that service huge numbers of shops so you could be like chunk on big numbers of shops I mean I don’t want to put the cart before the horse here but there is the possibility of signing distributor networks up one belt so is that fair?
Hallum Capital: And there is distributors with that service huge numbers of shops so you could be like chunk on big numbers of shops I mean I don’t want to put the cart before the horse here but there is the possibility of signing distributor networks up one belt so is that fair?
Shane Evangelist: Yes, I think so and one I would say Mitch is that it is Marathon for us for ensure here in our goal is in 200,000 shops and it is in 5,000 shops I mean our long-term goal is 30,000 shops right and certainly getting to that number is going to require a combination of local distributors who services a specific market along with the shops in those markets and then also possibly some larger national players. I think that with AutoMD and with shops as we get some more momentum when you get from a 1,000 to 2,000 to 5,000 I think it will be helpful on a number of fronts but certainly momentum in these businesses is key and we believe that capital raise is going to help us build that momentum.
Mitch Bartlett : So, on the base business there was a couple of restructuring or additional charges the restructuring cost on Carson, what did you say that was like 400 and some odd thousand?
 Craig: So, on the base business there was a couple of restructuring or additional charges the restructuring cost on Carson, what did you say that was like 400 and some odd thousand?
Hallum Capital: So, on the base business there was a couple of restructuring or additional charges the restructuring cost on Carson, what did you say that was like 400 and some odd thousand?
Shane Evangelist: That was 410,000 for the quarter.
Mitch Bartlett : And the fulfillment it was higher year-over-year largely because you were taking in inventory in the third quarter that you might have taken in, in the fourth quarter. So, considerably you might see less pressure on fulfillment wages in Q4 or how does that work?
 Craig: And the fulfillment it was higher year-over-year largely because you were taking in inventory in the third quarter that you might have taken in, in the fourth quarter. So, considerably you might see less pressure on fulfillment wages in Q4 or how does that work?
Hallum Capital: And the fulfillment it was higher year-over-year largely because you were taking in inventory in the third quarter that you might have taken in, in the fourth quarter. So, considerably you might see less pressure on fulfillment wages in Q4 or how does that work?
Shane Evangelist: Yes, Mitch I think maybe a couple of things, one is, some of that fulfillment wage is going to actually spill into the fourth quarter as we were still bringing and laying the inventory into October. And then I think it will normalize back out to where you’d seen it previously. So you’ll see a little bit higher wage expense in the fourth quarter for fulfillment and then I believe 2015 and beyond it will get back to that rate that we’d previously run at.
Michael Yoshida: That restructure piece was primarily all fulfillment expense.
Mitch Bartlett : And the gross margin that you’re putting on branded product is becoming more and more aggressive driving those sales which is as you said it turned positive but you’re growing faster on the private label side so you could continue to put pressure on your prices on the branded side to drive even faster sales in the future is that a way to think about it or not?
 Craig: And the gross margin that you’re putting on branded product is becoming more and more aggressive driving those sales which is as you said it turned positive but you’re growing faster on the private label side so you could continue to put pressure on your prices on the branded side to drive even faster sales in the future is that a way to think about it or not?
Hallum Capital: And the gross margin that you’re putting on branded product is becoming more and more aggressive driving those sales which is as you said it turned positive but you’re growing faster on the private label side so you could continue to put pressure on your prices on the branded side to drive even faster sales in the future is that a way to think about it or not?
Shane Evangelist: Yes, I think that’s probably a good way to think about it Mitch. We certainly have an opportunity to grow at a faster rate and we evaluate that sort of daily, weekly kind of a deal but to be clear we continue to understand that the profits of our business are driven through our private label business and it’s our number one focus. Furthermore, helping to grow that private label business is certainly understanding what moves quickly in the branded business and so some acceleration of a branded business would also in turn help our private label business long-term so there is some other impact to growing a branded business at a faster rate and we’ll just continue to monitor and manage what the right long-term solution is for us over the next five years as it relates to pricing on those two pieces.
Mitch Bartlett : Any issues with the private label business as far as write-downs or anything, you’ve been in the business for long time but as currently you have fairly sizable, how is that business going as far as write-downs and lots of lessons and things like that?
 Craig: Any issues with the private label business as far as write-downs or anything, you’ve been in the business for long time but as currently you have fairly sizable, how is that business going as far as write-downs and lots of lessons and things like that?
Hallum Capital: Any issues with the private label business as far as write-downs or anything, you’ve been in the business for long time but as currently you have fairly sizable, how is that business going as far as write-downs and lots of lessons and things like that?
Shane Evangelist: Mitch we’re in a category that allows a car to stick around for 10 to 20 years so it’s fortunate for us the products that it brings in now like a fashion product where if you miss the season you have a problem there. We haven’t had huge write-downs, we certainly had quality of product overtime where you maybe have more fast moving than slower trading product what I’d tell you is we continue to see our inventories improve, our turns improve so that’s been good. The one issue that we have discussed around some sort of inventory write-down would be associated with the physical plant we need in the warehouses and in the fourth quarter we may do some accelerated sales of this product on lower prices to make sure that we’ve got that inventory spacing in our warehouses but other than that Mitch our inventory has consistently been able to be broadened and moved.
Mitch Bartlett : I guess the only last question I’ll ask just looking over the text here, you said that your conversion rate was up and it was obviously up very well year-over-year based on consumers’ confidence and the better prices that they were seeing which makes sense. But also you have reduced the number of Web sites that you're offering product on. I wonder if the primary Web sites can work better than the other Web sites that you’ve closed?
 Craig: I guess the only last question I’ll ask just looking over the text here, you said that your conversion rate was up and it was obviously up very well year-over-year based on consumers’ confidence and the better prices that they were seeing which makes sense. But also you have reduced the number of Web sites that you're offering product on. I wonder if the primary Web sites can work better than the other Web sites that you’ve closed?
Hallum Capital: I guess the only last question I’ll ask just looking over the text here, you said that your conversion rate was up and it was obviously up very well year-over-year based on consumers’ confidence and the better prices that they were seeing which makes sense. But also you have reduced the number of Web sites that you're offering product on. I wonder if the primary Web sites can work better than the other Web sites that you’ve closed?
Shane Evangelist: Yes, and Mitch that is certainly the case, we certainly saw a better increase conversion on our core branded Web sites, some of that probably more of it has to do with the user experience on our core sites, but I also think there is still opportunity for us to as we discussed rolling out SmartFit and getting our data right on those sites converting to more a mobile-friendly platforms. So, I think there is still upside at conversion for us going forward.
Mitch Bartlett :  I got one more question for you, headcount year-over-year, do you have it?
 Craig:  I got one more question for you, headcount year-over-year, do you have it?
Hallum Capital:  I got one more question for you, headcount year-over-year, do you have it?
Shane Evangelist: I think we are about slightly down from a year where total headcount of Company’s little over a 1,000 and so it's slightly down from last year.
Operator:  There are no further questions in queue. I’d like to hand the call back over to management for closing comments.
Shane Evangelist: I want thank you all for joining the call. And we look forward to updating you on our fourth quarter call and the first quarter. Take care.